Indira Diaz: Good morning. My name is Indira Diaz, Cementos Argos' IRO. And I welcome you to our Fourth Quarter Results Release. On the call today are: Juan Esteban Calle, our CEO; Felipe Aristizabal, our CFO; Maria Isabel Echeverri, the VP of Legal Affairs; Bill Wagner, the VP of the U.S. Division; Carlos Yusty, the VP of the Colombian Division; and Camilo Restrepo, the VP of the Caribbean and Central America Division. Please note that certain forward-looking statements and information during the call or in the reports and presentation uploaded at www.argos.co/ir are related to Cementos Argos S.A. and its subsidiaries, which are based on the knowledge of current facts, expectations, circumstances and assumptions of future events. Various factors may cause Argos' future results, performance or accomplishments to differ from those expressed herein. The forward-looking statements are made to date. And Argos does not assume any obligation to update such statements in the future as a result of new information, future events or any other factors. Today, after the initial remarks, there will be a Q&A session. If you have a question, please raise your hand by pressing the icon at the bottom of your screen at any time during the conference. We will record this Q&A session and upload it in our web page. It is now my pleasure to turn the call over to Mr. Calle.
Juan Esteban Calle: Thank you, Indira and good morning everyone. The year 2021 marked a milestone in the history of Cementos Argos, with a full year adjusted EBITDA of around COP2 trillion, the highest figure ever displayed by our company and an adjusted EBITDA margin of 20.2%, a record since 2005, when the internalization of Cementos Argos began. This strong results allow us to significantly decrease the layer ratio of the Company from 4.5 times net debt to EBITDA plus dividend at the beginning of 2021 to below three times by the end of the year. I am extremely proud of these achievements, which are the result of a disciplined strategy of expansion, efficiencies and customer-centricity that has been carried out based on a long-term vision of sustainability, growth on profitability, aiming and delivering increasing value towards shareholders. I would also like to highlight the fact that fixed ratings has recently announced its decision to improve the outlook of our long-term local rating from neutral to positive based on these outstanding results and expectations of future cash flow generation arising from the positive performance of the market, where we operate. Now referring to our consolidated results, I will start by mentioning that all the reference made to EBITDA, ready-mix and cement volumes, and percentage of evolution versus last year are made on a comparable basis, excluding the adjustments that are explained in more detail in the presentation that is currently being displayed, and in the report that is available on our IR website. Cement dispatches reached 4.2 million tons during the quarter with our year-over-year increase of 9.5%. On a like-for-like basis while ready-mix dispatches to that 1.9 million cubic meters with a comparable year-over-year increase of 9.9%. Good market conditions in most of our markets together with a more aggressive commercial strategy in Colombia and good work conditions in the U.S. were the main contributors of this positive performance. On a full-year basis, cement and ready-mix dispatches are counted for 17.1 million tons and 7.8 million cubic meters prospectively increasing 18.3% in cement and 2.7% in ready-mix versus 2020 on a comparable basis. Revenues accounted for COP2.5 trillion during the quarter, posting an increase of 9.3% versus last year. Full-year revenues to have COP9.8 trillion during 2021 growing 9.1% versus 2020 and achieving and record high in Cementos Argos’ history. Now to start with our results in each region, I would like to invite Bill to provide more context about the performance of the U.S. region and our view for the market.
Bill Wagner: Thank you, Juan, and good morning everyone. I'd like to start by highlighting the fact that the U.S. region achieved during 2021 a full-year adjusted EBITDA of $274 million and an adjusted EBITDA margin of 18.9%, representing the highest figures in the entire history of Argos. These results reinforced the importance of the strategy that Argos has deployed in the U.S. since 2005, including the acquisitions and the recent optimization of the ready-mix operation with the purpose of improving profitability and achieving a better use of capital for our investors. Quarterly figures also represented all time high for our company. EBITDA reached $84 million and EBITDA margins stood at 23.5% during the fourth quarter of 2021. The year-over-year EBITDA growth of 36.2% together with the margin expansion of 10.5%, are the result of the positive evolution in volumes for both cement and ready-mix as well as the favorable pricing dynamics of the market. Volumes exhibited a year-over-year increase of 9.3% in cement and 6.2% in ready-mix during the quarter on a comparable basis due to strong market conditions in Florida and the Carolinas, which posted double digit growth in cement and high-single digit growth in ready-mix. Good weather conditions on the fourth quarter together with strong market fundamentals were the main catalyst for these results. Volumes for the full year were 6.1 million tons of cement and 5.2 million cubic meters of ready-mix. In terms of pricing, the average prices for the last quarter of the year fully captured the second increase carried out during the third trimester, increasing 5.3% in the ready-mix segment, and the 2% in the cement segment when compared to the average prices of the same period last year. In that same line, variable cost associated to both cement and ready-mix production exhibited important increases versus the same quarter of 2020. In the ready-mix segment, we estimate an impact of 6.6 million for the quarter, mainly due to high aggregates in fuel cost. In the cement segment, the main cost headwinds were associated to energetic, electric energy, raw materials and distribution costs for an estimated 15 million of which approximately 70% was offset by a better cost dilution resulting from higher production and efficiency and fixed costs. The process of assets and inventories clean up was finalized in December of 2021 as anticipated on the last earnings call with the final net non-reoccurring income of $10 million registered on the fourth quarter of the year, resulting mainly from land appraisals. For the full year, the net effect of this process was a net income of $3.8 million, which includes assets and inventory write-offs as well as land appraisals. As part of our sustainable and innovation product portfolio, we launched a new super UHPC, a cutting edge ultra-high performance concrete. This product is composed of a series of special cementitious materials and fibers providing outstanding characteristics in terms of mechanical and durability properties, all making it suitable for a wide range of applications. We are currently working with the Florida department of transportation on two bridge joint projects with UHPC, aiming at contributing to the rehabilitation of thousands of deteriorated bridges and roads, and the construction of new highly durable and resilient infrastructure. Regarding market dynamics, the residential segment remained as the main growth driver during the last quarter of 2021, both building permits and housing starts continue to exhibit the upward trend that started during the pandemic, with month over month increases on December equivalent to 9.1% and 1.4% respectively. Our growth expectations for 2022 are mostly based on the continuation of this positive trend in the residential market with demand far exceeding supply. Additionally, the commercial segment as well as the infrastructure segment will likely play an important role during the current year, but in our opinion will not exhibit significant increases versus 2021. We continue to be optimistic about the infrastructure bill and its potential impact on the country's cement consumption, derived directly from the projects funded by the bill and indirectly from the overall growth of the economy. We firmly believe that this initiative together with the macro fundamentals development will leave us ample room for growth in the future.
Juan Esteban Calle: Thank you, Bill. The solid results for the U.S. business reinforce our belief in its potential and importance within our footprint. Now moving to Colombia, I would like to highlight the excellent performance of the Colombian market, which achieved a record high of 13 million tons of cement dispatched during 2021 and the relevant performance power volumes in this country, which increased 23.1% in cement and 18.3% in ready-mix versus 2020. Carlos will now provide additional color on this region.
Carlos Yusty: Thank you, Juan, and good morning. Over the last three months of 2021 demand conditions in the country remain strong, supported by the solid performance of the retail segment and also relation in infrastructure projects, leading to record quarterly dispatches from the industry. As a result of this strong market environment and the successful deployment of our commercial initiatives throughout the year, cement dispatches grew 8.3% versus the same period of 2020 and reached the highest levels since 2018, allowing us to reach a 39% market share in December, 3.2% higher than the same month of last year. Similarly on the ready-mix business, volumes grew 17% year-over-year due to a stronger demand [indiscernible] construction and infrastructure projects. Prices, in this cement and ready-mix business, were relatively flat compared to the third quarter of 2021, increasing 0.2% and 0.4% respectively. During the quarter, inflationary pressures continued with an estimated impact of COP19 billion in variable costs, arising mainly from the high cost of [indiscernible] which were partially mitigated with strict control over both fixed comparable costs. Despite the persistence of inflationary pressures and flood prices, the solid volume performance in both segments led to an EBITDA growth of 9.7% year over year in the fourth quarter. EBITDA margin stood at 22% with a slight decrease of 20 basis points versus the last year. For the full year, EBITDA margin reached 21.7%, a 147 basis points higher than 2020. Regarding market dynamics, I would like to highlight the residential segment in Colombia in which social and non-social housing sales grew 30% and 24% respectfully year-over-year reaching an all time high during 2021. In the same direction, the past year housing staffs achieved the highest level in seven years after the result of the strong housing sales that have been observed in the market since their reopening of the economy. On the chart at mid-term expectation for the market continue to be strong, based on the record level of ready-mix dispatches in the industry for 2021, plus the gross micro fundamentals of the country and pipeline of purchasing for more construction for both residential and infrastructure. We are particularly positive regarding the announcements from the government related to the willingness to accelerate the finalization of 14 4G projects during 2022, as well as the tender offers for the 5G projects and the initiative comprised in the infrastructure package that has been named Compromiso por Colombia, which should support future demand growth once the 4G projects are completed. We are confident that the strong market conditions evidenced in the second semester of 2021 will carry on to 2022 with the [indiscernible] segments as pillar of the continuation of economy recovery in the country. Additionally, we expect a better pricing dynamic for the year ahead based on cost inflation and higher import parity prices rising from higher freight rates and the lower economy cement trading dynamics.
Juan Esteban Calle: Thank you, Carlos. Moving on the Caribbean and Central America region, I would like to highlight the historical figures achieved during the year in terms of volumes. Camilo will provide additional information on this subject.
Camilo Restrepo: Thank you, Juan, and good morning, everyone. During the fourth quarter of 2021, the CTA region exhibited a continuation of solid commercial dynamics in most of our markets, derived from the economic reactivation evidenced throughout the year. For the full-year, cement volumes reached 6 million tons, a historic record for the region. During the fourth quarter, cement dispatches increased 10.9% compared to the same period of last year, mainly influenced by a strong performance in Honduras, Dominican Republic and the export and trading volumes. Honduras continued exhibiting positive market conditions in both pricing and volume partially due to the constructive dynamics surrounding the presidential elections held in November, with significant improvement versus the social unrest experience in the past in this type of situations. Cement dispatches in the country grew 16% versus the same quarter of last year and close 2021 on an all high level. Dominican Republic continued its steady growth trend evidenced in 2021 in prices and volumes, which grew 7% year-over-year. There is a positive outlook for the demand conditions in the country as the market continues to accept positive commercial dynamics. And there have been announcements from the government that indicate investments for more than $800 million in road infrastructure construction. Panama experienced a mid-single digit volume decrease compared to the same quarter of last year. The industry has faced challenges associated to high housing inventories and the lack of infrastructure projects in construction phase, which has affected the pricing environment. Over the last months, there has been advanced on some of the major infrastructure projects, such as the third line of the Panama Metro, which together with the expectation of economic growth about the LATAM average for 2022 provides a better outlook for the market dynamics in the country during the current year. Our operations in Haiti continued to exceed improving prices during the quarter, which cement dispatches remaining at low levels due political and social instability in addition to fuel shortages in the country, which generated technical challenges in the PAM and in the distribution of cement market. In Puerto Rico, prices also maintain their positive trend, while cement volumes decreased 7.8% year-over-year due to a top comparison between -- comparison base that included the pent up demand of the economic reopening from the second half of 2020 as well as their corruptions in the supply chain from other construction materials affecting housing construction in the Island. As a result of the strong demand conditions in the region, trading volumes increased 86% during the quarter as shipments to Dominican Republic and Puerto Rico and third parties improved significantly compared to the same period of 2020. When analyzing the full year trading volumes double when compared to 2020 due to the star demand evidenced in most countries of the GCCA region and the U.S. Pricing the [indiscernible] in the region were flat sequentially in cement and remain on the highest level since 2018 resulting from the economic recovery and the increase in import priority prices over the last month, derived from higher prices and production costs. Cost inflation also impacted the GCCA region during the fourth quarter of the year. The increase in variable cost had an estimated impact of $1.7 million in our main operations. In Honduras, we experienced higher solid fuel prices as well as an increase in the cost of electrical energy of more than 30%, ratifying our strategy of moving to solar, generated energy and reaching a fuel substitution rate of 12% by 2030 in order to reduce CO2 emissions and fuel costs. Costs in the region were also impacted by higher cost of imported cement and clinker in Dominican Republic and Puerto Rico. This cost increase was completely upset with a combination of higher volumes and prices resulting in a total EBITDA of $29 million during the fourth quarter and an improvement of 2.9% year-over-year. Year-to-date EBITDA accounted for $146 million with an increase of 25.3% when compared to 2020 in a fully recovered versus a pre pandemic levels. For this year, we are expecting the continuation of both inflationary pressure on costs and solid market conditions across all countries, which should lead to positive results in the following quarters.
Juan Esteban Calle: Thank you, Camilo. Now, referring to our balance statement, I would like to highlight one more time our net debt to EBITDA plus dividends ratio, which is of December, 2021, to the slightly low three times in line with our year-end expectations. For the current year, we expect this ratio to maintain its downward trend given by the continuation of the favorable market dynamics in all three regions that will translate into further price improvements that will be partially offset by cost pressures derived from the economic activation. In line with this evolution, we expect our full year operational EBITDA to be out of COP2 trillion for ’22. In terms of CapEx, we'll make investments during the current year of approximately $200 million. This amount includes around 45% of profitability CapEx, a similar amount of maintenance CapEx and about 10% strategic CapEx. The profitability CapEx will be mainly dedicated to renewal of the logistics network of the U.S. into imports and ready-mix tracks. The increase of export capacity in Colombia, the capacity increased in Honduras and the continuation of our CO2 reduction roadmap across the regions. Regarding the dividend payment in line with the excellent financial results of 2021 and the positive outlook for the current year, the Company will propose to the general shareholders meeting a substantial increase in the dividend of the Company, returning to pre-pandemic levels and implying an increase of 40% compared to last year's payment. Before finishing my intervention, I would like to thank each one of our stakeholders for the full support and commitment that may possible the historic results as shipped last year. We are fully committed to exceed in this performance in the current year. Thank you all for your attention. Indira, we can now proceed with the Q&A section.
A - Indira Diaz: Thank you, Juan. We will proceed now with the Q&A session. [Operator Instructions] First question comes from Alejandra Obregón from Morgan Stanley.
Alejandra Obregón: Hi, good morning, Cementos Argos team. Congratulations on the numbers and thank you for taking my question. I actually have two. The first one is related to the potential U.S. listing. If you can comment on how the process advancing and where in the process are you at the moment? And then the second question is on the cost side, particularly in the U.S., there is a big improvement in the region, so I was wondering if you can comment on what's driving these, elaborate a little bit more on the energetic side, for the quarter and whether it's a reasonable assumptions of think of this profit at the middle levels, especially for the cement division in the U.S. for 2022? Thank you.
Juan Esteban Calle: Thank you, Alejandra for your question. I mean about the first one, the U.S. we think within the securities law, restrictions at this point in time, we cannot comment any further. Regarding your second question, inflation is a challenge I mean, not only in the U.S., but in all of our markets, but we're content that we will continue with the expansion of margins, not only in the U.S. regions, but across all of our markets in 2022.The most challenging quarter last year was the fourth but it was cost increase close to $10 per ton the U.S. in the last quarter. But with the price increases that we have in place and the ones that we will do in 2022, we are fully confident that we would continue with the expansion of margins across all of our markets.
Alejandra Obregón: Thank you. So if I may follow up on that last answer, if you can comment on what type of price increases are you thinking in the different regions, especially in the U.S. for your full year guidance? That would be very helpful.
Juan Esteban Calle: Yes, Alejandra, we are not very specific about prices increases. But the only thing that I can tell you either we planned price increases in all of our markets, offsetting cost inflation.
Alejandra Obregón: Thank you. And if I may have an additional follow up. In the U.S. can you comment whether the price increases are being done in January or April and the different regions where you operate, please?
Juan Esteban Calle: Bill will give you a little bit more color about specific states in the U.S.
Alejandra Obregón: Thank you.
Bill Wagner: Yes, thanks for the question, Alejandra. I mean, as Juan said, we can't be very specific there, but we did have price increase announcements in all of our markets in January. And at this point, I think we're okay in both the ready-mix side and the cement side.
Alejandra Obregón: Thank you. That was very clear. Congratulations again.
Juan Esteban Calle: Thank you.
Indira Diaz: Next question comes from Yassine Touahri from On Field Research.
Yassine Touahri: Yes. Can you hear me?
Indira Diaz: Yes, we can.
Yassine Touahri: Just did this, I understand that most of competitor in the U.S. have announced price increase of approximately $10 per ton, which would be actually very close to the cost increase of $10 that you are experiencing in Q4. Is it fair to assume that you'll just offset the cost inflation with the price increase and that any would have to come from volume? And then, I would've question as well about did you see before those price increase some client pre-buying? And do you see any impact on the volume at the beginning of the year? Because what we've seen for example in Europe is that some of brokerage of cement, they bought a lot of cement in the December ahead of the price increase and they stopped buying in January. Are you seeing any decline in volume in the U.S. or in any of U.S. market in January or is beginning of the year going?
Juan Esteban Calle: Thank you for your question. Even though, I mean highest inflation pressure that we faced wasn't the fourth quarter in the U.S. for the whole 2021 and the increasing cost because of inflation was more different to approximately $10 per ton. That was only the fourth quarter. We are seeing that with the increasing volumes that we are for 2020 in the U.S., price increases that we are planning to take into the market. We'll be able to more than offset the inflation pressure that we're filling 2022. So, we're expecting expansion in the margins for the business and the U.S. or both for cement and ready-mix. And generally in the first two week of February in the reality start, we started very strong. We have not seen like any change in the positive fundamentals in any of our markets.
Yassine Touahri: Two follow up questions. One, we see many -- everywhere in the world, we see because of the energy cost and because of the pandemic, we see a lot of concentration. Labor cost is going up a lot. So, the cost of actually building is going to be substantially higher in 2022 than it was couple years ago. Do you see risk that some project might be delayed or that it might impact demand in the long-term? Like let's say, for example, if households in the U.S. don't have an increase in salary, they might not be able to pay for a new house or maybe it could impact the amount of money, which is available -- the number of project that the government can carry out in this coming week that inefficient on consortium with impact demand? And then second question, which is more on the U.S. Could you give us an update on the limestone cement and the cement with additives? Have you seen any developments in terms of regulation? Or have you any developments in terms of marketing new products with blended cement with [indiscernible]?
Juan Esteban Calle: I mean, inflation is a challenge and I don’t think U.S. is buying all of our markets. And the governments are taking initiatives to control the inflation and that is from a macroeconomic standpoint one of the top priorities of all the governments. But up to now, we haven't seen like any change because it’s a fundamental nor into dynamics of the construction any of our markets. Regarding the evolution of [indiscernible] cement in the U.S., I would like Bill to give you more cover.
Bill Wagner: Sure. Thank you very much for the question. So, I don't know, I'm sure you're aware that as PLC has kind of transitioned in the U.S. and is now accepted in all of the states where harvest operates, that's a pretty positive trend in our opinion. So given the tight production being in almost low capacity or at full capacity in most all of our plants, we've made some pre-strategic moves to move to higher level of PLC. And our ambition this year is going to end around somewhere between 25% and 30% of our total production from cement volume, which I think is a good indication. And we just announced that our Roberta operation, we have a plan there to be 100% PLC by the middle of this year. So, if that actually takes place, and we're pretty optimistic about that, those percentages could be on the higher end of the number that I just provide. So, that's pretty exciting for our team.
Yassine Touahri: And in terms of if we look at the PLC, what is the clinical factor of PLC? Is that the same one, is it is 5%, 10% [indiscernible].
Bill Wagner: It's a 10%.
Yassine Touahri: So, it means that essentially if you at the [indiscernible] plant, you would've an effective 10% increase in capacity for modest investments. Is it fair to…
Bill Wagner: Yes, that is correct.
Yassine Touahri: I mean is it fair to assume that the cost of finishing 1 ton of the cement is not substantially different to the cost of producing one of cement?
Felipe Aristizabal: [indiscernible] we’re adding 170,000 tons cement, which that reach to 1 -- and I mean, the cost of producing 1 ton of cement is lower than the cost of producing regular cement. So, it is positive from a sustainability standpoint, from an increasing capacity standpoint, and from a cost perspective. So, we're extremely happy with the evolution of the penetration of blended cement in the U.S.
Yassine Touahri: Is the reason why you're confident to be able to maintain or increase margin even after considering the steep increasing costs?
Felipe Aristizabal: I think yes.
Operator: Next question comes from Gordon Lee from BTG.
Gordon Lee: Hi, good morning. Thank you very much for the call and congratulations on the results. Two quick questions. The first on the U.S. business. I was wondering, if it'd be possible maybe to give us a sense of how much of the strong performance in quarter, especially in Florida, the Carolinas was from a catch up on the back of good weather and how much it was sort of underlying growth and demand? And then in Colombia, obviously 2021 was a great year in terms of market share gains. Was there anything unique about the year that led to those market share gains that may lead them begin robust in 2022? Or do you see those as permanent gains in market share?
Juan Esteban Calle: Thank you, Gordon. I would like you Bill to answer the first question, and Carlos, the second one.
Bill Wagner: Sure. Gordon. Thank you again for the question. I mean, we did have some benefits from the weather in fourth quarter. But I just like to point out, I mean, the demand is still really strong in all of our markets specifically in Georgia to Carolinas and Florida, and Florida is probably the most significant at three. So I think it's a combination of maybe a little bit better weather patterns, but the demand is still extremely strong.
Carlos Yusty: And in the second question, Gordon, about Colombia, our goal is to maintain this market share. I think that we have made a lot of moments [indiscernible] around Colombia especially in the center some of [indiscernible] and the southwest stone. And that is our goal to move around 37% of market share for this year and the next coming year.
Gordon Lee: Great, that's very clear. Thank you very much.
Indira Diaz: Next question comes from Rodrigo Sanchez from Davivienda Corredores.
Rodrigo Sanchez: Yes. Good morning. And thank you for my questions. The first one, if you could please comment on your expectations and margins regarding your additional export capacity. How different these margins could be compared to the margins achieved by your current operations? And the second question -- the question is how many percentage points on EBITDA margin have you gained or expect to gain in the U.S. ready-mix operations due to the divestment completed in 2021? Thank you.
Juan Esteban Calle: Thank you, Rodrigo. We already posted a full year in excess of 20% of EBITDA margin that was like our first goal. And the idea is to continue expanding our margins in the U.S., we finished the year 19%. Our goal is at least 100 basis points that margin. In Colombia, we ended up close to 22% with the good dynamics that we are seeing in the market. The growing demand and all the execution of based and reason that has been extremely successful. In Colombia, we transact as well to in the New York tam to increase those margins at least to 25%. And that means that our consolidated margins should continue expanding going forward. In terms of our export capacity our plan is to export 40% more volume out of Cartagena this year than last year. So, the reality is that with the new expansion of the Cartagena terminal. We're extremely excited with the opportunities that the Cartagena plant is going to play in our footprint going forward.
Rodrigo Sanchez: Thank you, Juan. Congratulations.
Indira Diaz: Next question comes from Vanessa Quiroga from Crédit Suisse.
Vanessa Quiroga: Hi. Thank you for taking my questions. I have a couple. The first one is, if the effect of assets and inventory cleanup that you mentioned of $10 million on the income. Is that the same amount affecting EBITDA? And the second question is, if we adjust EBITDA for 10 million, I obtain that quarter-over-quarter total cost and operating expenses actually decreased quarter-on-quarter? So, I was wondering, if you could explain what were the strategies carried out that will lead big plans quarter-on-quarter? Thank you.
Juan Esteban Calle: Thank you, Vanessa. And Felipe Aristizabal will answer your question.
Felipe Aristizabal: So, yes, these charges that we're -- or these adjustments that we're including the fourth quarter results, both affect EBITDA and net income. If we -- these are non-cash charges both of them, so they experienced -- they don't have any effect on the actual cash generation of the Company.
Vanessa Quiroga: So, that same to adjusted EBITDA just use the same amount 10 million.
Felipe Aristizabal: That's right, yes.
Vanessa Quiroga: Yes. So, if I adjust EBITDA quarter-on-quarter, it would seem as if cost actually declined in the U.S. in that four quarter versus the third quarter. So, yes, I want to see if it's possible to get more details on how it was achieved specially with the current environment of higher energy costs?
Bill Wagner: So, we can, I mean, the actual effect of or the actual effect was an increase in cost during the fourth quarter of the year. The net effect attributed to these non-cash charges should not reduce the total cost experienced in the U.S. for the quarter.
Operator: Next question comes from Steffania Mosquera from CrediCorp.
Steffania Mosquera: So my first is regarding EBITDA guidance. You mentioned in your presentation that you are expecting 2.1 trillion roughly, which is to what we saw in 2021. However, I highlight in 2020, we had some one-off effects that affected EBITDA such as sales of asset and the inventory clean up. So are you expecting this to be fully non-current or are there any other -- sorry, are you expecting EBITDA to be recurrent? Or are you expecting any non-recurring items in 2022 EBITDA?
Juan Esteban Calle: The guidance figure is operational. So, it doesn't include recording items and it is an increase over the 1.93 to 1.95 operational EBITDA that we had in 2021. So, we're expecting to that operational EBITDA for 2021 and 2022.
Steffania Mosquera: My second question is regarding your guidance of CapEx. Are you mentioned that you would execute some CapEx in expanding the port in Colombia. And this news -- just there was a news on the finishing on the expansion of the Cartagena in capacity to 3.5 million tons. So, my question is. What are your plans other than this expansion?
Juan Esteban Calle: Thank you, Steffania. Yes, we expand the capacity our important in Houston, and we'll invest some CapEx into the expansion of our terminals in the U.S. Plus, there was some CapEx with ready to port expansion Cartagena that is going to recover into 2022. So, mainly, we’re going to gain CapEx to increase capacity across all of our operations.
Steffania Mosquera: Great, thank you. And my final question is regarding the U.S. market. You mentioned in your presentation that they share or the mix of infrastructure decreased this year. I would like to understand, why is this strength and if you expect that the continuation of it going forward?
Juan Esteban Calle: Yes. Bill, can answer that question.
Bill Wagner: Sure. So, I mean, what we see as far as the infrastructure bill is concerned. I mean, I still think there's a lot of motivation around it. I think the timing of it and how the funds actually get allocated through the markets is a bit slower than expected. So, we see it had been relatively flat with some very positive outlook in the future. But as far as impacting our operations, we think it's going to be at the earliest late this year, maybe late fourth quarter. And we have the biggest impact beginning in 2023. So I think we have reported before in the past to our focus in this segment. So from two years ago, our plan is to increase our share. So, we've done a pretty good job of increasing in this segment. So, we feel like we're ready for this to move forward and take advantage of it in 2023.
Steffania Mosquera: Thank you very much. Just a final question, if I may. EBITDA margin dropped quarter-over-quarter in Central America and the Caribbean, why is the trend?
Juan Esteban Calle: Because market was very good in Central America and Caribbean, it's just that due to seasonality. I mean, the fourth quarter is not as strong third one, but can be lower as Carlos will provide with more color.
Carlos Yusty: Thank you, Juan. Thank you, Steffania. That's the reason for it as explained by Juan quarter-on-quarter, and also we're starting to see some of the cost inflation that was mentioned during the call. We are working price increases. We did some at the fourth quarter last year, but we're also doing price increases in this year to offset cost inflation.
Operator: Next question comes from Juliana Aguilar from Bancolombia.
Juliana Aguilar: Hello? Can you hear me?
Indira Diaz: Yes, we can.
Juliana Aguilar: Okay. Thank you very much. And thank you very much for the call and taking our questions. And I have two questions. The first is regards to the guidance we're providing on margins, on where the spend increases this year. Is that increase apart from the price increases in the other industry, raw materials? Do you have to stay on any kind cost reduction strategy worth mentioning? That will be my first question and if you can provide us guidance on the size of the margin respect for the consolidated numbers. I also have another question regarding volumes. And if you have any kind of anticipated maintenance plan for this year, where do you expect to get maintenance and when? Thank you very much.
Juan Esteban Calle: Thank you. I mean the margin expansions will be due to volume growth and price increases. All of our operations are at cost level that we're quite comfortable after the execution based on recent. We'll continue looking to optimize our operations, but in general, the margin expansion will come mainly for volume expansion and price increases in excess of the cost inflation. In terms of the maintenance schedule, I will give the floor to each of the regional VPs just to comment on that.
Juliana Aguilar: Thank you.
Bill Wagner: Yes, one from the U.S. perspective. That's a good question. Our plan is from a maintenance standpoint to be similar or up a little bit from 2021. I think there was a comment made already about trying to renew our fleet, especially in ready-mix. And I think that's going to as those trucks come in will help the maintenance from prior year. So, we probably have neutral to decrease in the ready-mix side, probably have some increase in the cement side, but overall, it's going to be similar to 2021.
Carlos Yusty: From the Colombia, from the maintenance point Juan and Camilo, really the maintenance plan could be pretty similar to the 2021. [indiscernible] we're expecting some increase in volume, but no -- but not in a comparable pursue the 2021 versus 2020 for the reason is pretty similar than the previous year.
Carlos Yusty: Same situation for Central American and the Caribbean. We're going to have a very similar plan in terms of costs. It's as budgeted and will result in budgeted or expected earnings and costs. We will have to move some of the maintenance -- major maintenance like the churn in Honduras from the second quarter to the first quarter, as we have gotten some of the materials that we were expecting last year for maintenance that were delayed with the problems that still are in the supply chain, but nothing other than that.
Juliana Aguilar: Okay, thank you very much.
Indira Diaz: Thank you everyone. Before we finish, I'd like to invite you all to visit our corporate website. There's a section dedicated to sustainability and we have published the main indicators for last year there and there's a special summary for our auditors. Juan, we have no more questions.
Juan Esteban Calle: Thank you much for attending our conference and looking forward to our next. Have a good day.